Operator: Good morning. My name is Keisha, and I will be your conference operator today. At this time, I would like to welcome everyone to the Donegal Group Inc. Q1 2013 Earnings Conference Call. [Operator Instructions] Thank you. Mr. Jeff Miller, you may begin your conference. 
Jeffrey Miller: Thank you. Good morning, and welcome to the Donegal Group conference call for the first quarter ended March 31, 2013. I'm Jeff Miller, Chief Financial Officer, and I will begin today's call with commentary on the quarterly financial results. Don Nikolaus, President and Chief Executive Officer, will then provide additional comments on the quarter and our current business trends. You should be aware that certain statements made in our news release and in this conference call are forward-looking in nature and involve a number of risks and uncertainties. Please refer to our news release for more information about forward-looking statements. Further information on risk factors that could cause actual results to differ materially from those projected in the forward-looking statements is available in the report on Form 10-K that we submitted to the SEC for 2012.
 You can find a copy of our Form 10-K in the Investors section of our website under the SEC Filings link. Further reconciliation of non-GAAP information, as required by SEC Regulation G, was provided in our news release, which is also available in the Investors section of our website.
 Turning to the first quarter results. We are pleased to report $6.5 million in net income, but we did not achieve the profitability levels that we are targeting. Operating income for the first quarter of 2013 was $5.6 million, compared to $6.5 million for the first quarter of 2012. As Don will cover in his remarks, our net premiums written rose 9.2% for the quarter. That growth helped to bolster underwriting profitability across all business lines and is one of the reasons we remain optimistic that we can achieve more favorable results in the future. As the release notes, the 3 major drivers of the premium growth were, once again, premium rate increases in most of our lines of business, commercial lines, new business growth and an additional contribution from a reduction in Michigan Insurance Company's external quota-share reinsurance agreement. We expect the Michigan reinsurance change to add $10 million to our net premiums written in 2013, similar to the impact of the reduction in 2012.
 To provide more details, I will cover 6 loss-related items that impacted our first quarter profitability. First, weather losses of $5.6 million were within our normal quarterly range. Average first quarter weather losses for the previous 5 years were $6.9 million, but the comparative first quarter of 2012 was only $5.1 million. We did not incur any significant catastrophe losses during the current quarter, although our policyholders were affected by a March hailstorm in Georgia that added approximately $0.5 million to our losses.
 Second, large fire losses were unusually high, at $8.1 million, compared to the below average $3.3 million in last year's first quarter. After tax, the year-over-year $4.8 million increase caused a $0.12 reduction in this quarter's earnings per share. As the release mentions, we incurred several commercial fire losses in this year's first quarter that we would consider unusual in nature, and that contributed to the rise in both the number and severity of fire losses in the quarter. While we intend to monitor this very closely, we believe the spike was an aberration. 
 Third, in the workers' compensation line of business, our combined ratio of 101.6% was higher than we have experienced in recent quarters. The increase relates primarily to an increase in severity, including 2 first quarter claims for which we reserved a total of $1.8 million. Our workers' compensation line of business generated combined ratios below 100% in the past 2 years and we expect our 2013 results to improve to a similar level of profitability as the year progresses.
 Fourth, the combined ratio for our personal auto line of business improved over the prior year quarter but remained above 100%, as increasing medical costs continue to contribute to higher severity. We also saw a small increase in commercial auto severity in the current quarter. Medical cost inflation is one of the factors that support the rate increases we are seeking for both personal and commercial auto.
 Fifth, and definitely on the positive side, our homeowners combined ratio improved to 89.1%, bringing our overall personal lines combined ratio below 100% for the first quarterly period in the past 2 years. We're encouraged by that improvement, which we attribute primarily to the premium rate increases we've implemented over the past few years and will continue to take in 2013.
 And finally, our underwriting results reflected modest prior-accident-year loss reserve development of $1.8 million in the quarter, compared to $400,000 in the fourth -- in the first quarter of 2012. The development was primarily related to 2011 and 2012 accident years in our auto liability lines of business. As for investment income, we reported a decrease of 5.4% for the quarter, mainly as a result of lower investment yields in our fixed maturity portfolio. Our investment strategy and portfolio mix remain unchanged, despite the continuing low yield environment. 
 Our book value per share increased to $15.72 at March 31, 2013, up from $15.63 at year end 2012. And as we discussed in our fourth quarter call, we prepaid our $15 million trust preferred subordinated debentures using borrowings from the Federal Home Loan Bank of Pittsburg, of which our subsidiary, Atlantic States, is a member. We have borrowed funds from the FHLB on a short-term basis, at very low interest rates, currently at 25 basis points. We expect this action to reduce our interest expense by about $500,000 in 2013. 
 At this point, I'll turn the call over to Don for his comments on the quarter. Don? 
Donald Nikolaus: Thank you, Jeff, and good morning, everyone. Before I give my commentary on the results for the first quarter, I would like to just give some general commentary with regard to the Shepard tender offer. I would want to refer all of you to the 14D-9 that would have been filed by Donegal Group, along with the press release and Letter to Shareholders, all of which can be found either on the SEC website or on the Investor portion of our Donegal Group website, so that you can see the details of it, and it does give details of our position. And the Board of Directors of Donegal Group, Inc., in that 14D-9, urge the shareholders to reject the tender offer, because the offer is basically illusory.
 Tomorrow is our Annual Stockholders Meeting for Donegal Group Inc. and there will be some presentations made tomorrow related to the 14D-9, and also the subsequent filing by Mr. Shepard amending his filing as it relates to the options and the history of options as granted by the Donegal Group. The presentations and the outlines for those presentations will be filed in an 8-K that will be available prior to the public meeting tomorrow. And other results of the public meeting will be subsequently filed in an 8-K so that everyone will have the opportunity of seeing and understanding the presentation. It is not our intent, this morning, at this conference call on earnings, to get into any details because we don't want to preempt the presentations that will be presented tomorrow. And also, it will be clearly available for any of you or other investors as the result of the SEC filings.
 Now, referring to the first quarter. Jeff has given you a very good summary of the quarter. One of the several topics that I would like to highlight is that we were certainly pleased with the continuing opportunity to grow premium that we believe is based upon increased rates. And it basically expresses the opportunity in the marketplace to be able to write business but to write it at adequate premium levels. We are pleased that our focus on growing commercial lines, particularly in those regions where we would have done acquisitions over the years of primarily personal lines companies, and now, bringing commercial products to those states and through those entities, has certainly been a successful strategy. Although our 98% combined ratio on a statutory basis is not what we would like to achieve going forward, it does represent a significant improvement in statutory combined ratios over periods of time of the prior 2012 and earlier parts of '12 and 2011. It is slightly higher than the combined ratio in the first quarter of 2012.
 Moving to Hurricane Sandy. Basically, Hurricane Sandy is basically history now for us. 99% of the claims have been settled and closed, and any additional claims or any further development are fully reinsured. So there is no further impact to us of that storm event. With regard to the environment that we are seeing, as I referenced earlier, we are pleased to see that we continue to have the ability to make rate filings to increase both homeowner and personal auto rate. And on the commercial side, there continues to be a firming market for rate. On our renewals, we are getting on average between 7% and 8% increase on our renewals, which we think is refreshing and certainly a continuation of what we saw in much of 2012. 
 It also is providing an opportunity, when you're able to write business and write it at reasonable rate levels, to continue to refine the underwriting process and to basically refine the process by which you're writing. And also tighten, to a degree, your selectivity requirements so that, overall, you have an opportunity to further improve what is a good book of business, but also based upon increasing rates.
 With regard to the opportunities of expanding our distribution system, in 2013 in the first quarter, we appointed 24 new agencies. And I am pleased to tell you that we believe we are making excellent progress in growing our penetration and percentage of the books of business within agencies. We will complete next week 26 agency meetings across approximately 14 states that we hold annually. And in this particular year, they started in January of this year, and it would have been in our southern region, Mid-Atlantic. And now, we're completing it out in the western part of the United States, in the Midwest.
 Those meetings provide us the opportunity to be in front of anywhere between 50 and 150 agency people, depending upon the particular location. And what it does is provides an opportunity for us to tell the Donegal story, but also to learn a lot about what is going on in the marketplace in individual states. And we always come away from those meetings with an assessment of what we are finding. And one of the things that we are finding is that it is an improving market. And also, as an individual company, that we are feeling that we're beginning to -- our process of building momentum in continuing to grow and be prosperous in the writing of commercial and personal lines business.
 On the technology front, we made reference in our last earnings call to the fact that we will be rolling out mobile application for the paying of premium bills, the reporting of claims, the lookup of all policy information. And we are finalizing that and it should go live in the month of May. We have many significant IT initiatives that we are focusing on to continue our ability to provide ease of doing business to agencies, but also refining the work process and the workload that we have to do on a day-to-day basis to process increasing amounts of business. We are pleased that our expense ratio for the first quarter on a statutory basis is approximately in the 28%, 28.5% level, which is a nice improvement over time. And we believe that provides us an opportunity to not only grow our book of business but to enhance our ability to be as profitable as possible on that business. We're also very much of the belief that regional companies have very nice opportunities in this market to grow, and to grow profitably. And we would look forward to a continuation of that throughout 2013 and beyond. 
 I will turn it back to Jeff and we'll go into the question-and-answer mode. 
Jeffrey Miller: Okay. Thank you, Don. Keisha, if you would open the line for questions, please. 
Operator: [Operator Instructions] And your first question comes from the line of Rich Todaro. 
Richard Todaro: I want to first start by saying, I like you guys and I like what you've done, I just, as a fiduciary for my shareholders, I struggle to see how the company on a standalone basis achieves the valuation that's being talked about from Shepard. And so I have a fiduciary responsibility to vote for what I think is the highest value for my clients. I don't -- I guess what I would ask is, in your presentation tomorrow to shareholders, is somehow you use a normal metric that any insurance analyst would use, times some sort of earnings or ROE number to show how you would get there in a reasonable period of time. Because today, it looks like you would have to achieve like a 20% ROE on a standalone basis. And I don't know if you think you're going to get there somehow, a different way to get the stock to $30 or -- but I would argue that you would need to lay out a presentation to shareholders how you could get to $30 from a 1 – a 15% ROE or -- and your book value grows to here, and et cetera. If not, I have -- I struggle how that board is looking out for shareholders. And maybe that's something you want to cover tomorrow, but I just wanted to voice my opinion. 
Donald Nikolaus: Well, thank you for that. As we said at the beginning, we don't want this to turn into a question-and-answer session on Shepard's tender offer. But let me make one general commentary about what you have said. First of all, as in our 14D-9, we believe the tender offer is illusory, in that it is -- there are many conditions over which Mr. Shepard has no control, but he has set those as conditions that he would not pay such a price unless they are met. And the concept -- set that aside, but the concept that the shares of Donegal Group have a value that is potentially twice the current book value. If you look at the historic views of Mr. Shepard, are based upon the concept that the mutual company would be part of the transaction and it would give itself away and its 66% ownership, without consideration, or very little consideration. So it is a difficult concept to rationalize. We respect the fact that you have a fiduciary responsibility and we would not, in any way, suggest that you not discharge what you see as your fiduciary responsibility. Certainly, we will be covering some of that in our presentation tomorrow, but we would ask that those of you who have interest in this topic, that you do you read in full the 14D-9 so that you can somewhat understand the position of the Donegal Group, Inc. Board of Directors. 
Richard Todaro: I understand what you're saying about the mutual and all that, and then in prior transactions, Harley, Ziller [ph], whatever, it's my understanding that the regulators felt more comfortable that the -- that through the transaction that the mutual holders were more benefited by having somebody up above them that had more capital than just the normal holdco, but maybe I'm off base there. That mutual holders actually were more secure after a transaction than less, but that may not be the case. I just -- that was my understanding. 
Donald Nikolaus: Next question. 
Operator: And our next question comes from Samir Keer [ph] with Capital New Jersey Management. 
Unknown Analyst: I just had a few questions regarding the workers' comp book and the reinsurance on this line of business. First, can you just talk about the pricing environment in workers' comp and then what you guys are assuming on loss trend, given you guys are seeing higher severity? 
Jeffrey Miller: Well, as far as what we're seeing in loss trends, I think the first quarter loss ratio was somewhat elevated relative to what we would have experienced in the prior several quarters. That's primarily due, as the release indicated, to several large losses that occurred during the quarter. And the structure of our reinsurance programs for that particular line of business, which basically ends up front-loading some of the loss activity into the early part of the year, when we do receive some severe injury type of cases. Looking at the historical results of that line of business, they have been quite good. Our expectation for the current accident year is that, in the absence of those large losses that I just mentioned, that our loss ratio would be expected to be similar to what we have had in the past several years. We are getting rate increases in workers' comp on an aggregate basis -- on an average basis. And so the types of -- the classes of business that we're writing in workers' comp and our historical experience would suggest to us that we can write that line of business profitably. 
Donald Nikolaus: A little follow-up to that, also in the first quarter of 2013 in workers' comp, our frequency is actually down, although we're growing premium in that line of business, the frequency looks quite good. The loss ratio is primarily the result of several large workers' comp claims that occur as severity losses in the first quarter which, generally, they are minimal in terms of the number of those. But it certainly bears watching, but our historic record has been quite strong in writing that line of business and, emphasizing what Jeff said, the classes of business that we write. 
Unknown Analyst: Great. And just regarding that, the reinsurance on workers' comp, if you can just let us know when that renews? And if you can talk about the annual aggregate deductible. What level it attaches at? Where you guys are in terms of your workers' comp that contribute to the deductible? 
Donald Nikolaus: Our workers' comp and our casualty treaties renewed 1/1/13, so they are in place for 2013. And the aggregate annual deductible is for a number of our companies, particular the larger ones, is $1.5 million. And we have a separate treaty that covers Michigan Insurance Company, and that is lower at, I believe, $500,000. So we think that our treaties are well-structured, and they certainly are in place for the year 2013. 
Jeffrey Miller: Just to follow up on that, Samir, the Michigan treaty, we have met the deductible. So there will be no further losses on any loss that would exceed $1 million, that would be fully reinsured. And on the Donegal's company side, I believe used up about half of that deductible. So there's -- for the large part, we have met the majority of those deductibles. 
Unknown Analyst: Okay. And this deductible's been in place for many years or is it the first year it's kind of been put in place? 
Jeffrey Miller: No, we've had a workers' comp annual aggregate deductible for a number of years. It's new at Michigan, but the Donegal Insurance Group companies, what we call the core companies, have had that in place for several years. 
Operator: Our next question comes from Brett Shirreffs from KBW. 
Brett Shirreffs: A couple times you mentioned, you failed to reach your profitability targets during the quarter. I was wondering if you could provide a little bit more detail on what your targets are. 
Jeffrey Miller: Well, we have targets that we've set for both combined ratios and ROE objectives. And our combined ratio objective is in the 94% to 96% range, and our ROE objectives are in the 7% to 9% range. And obviously, we have not met either of those objectives in the first quarter. So we are certainly looking over the long term to return to a 10% ROE. But in the current investment environment, our objectives we were 7% to 9% for the current year. 
Brett Shirreffs: Okay. And then the expense ratio improvement in the quarter, is that something that we could extrapolate for the rest of the year? Or were there lower commissions for some reason in the quarter? 
Jeffrey Miller: It's very dependent upon the underwriting profitability because the swing in the expense ratio is generally related to the incentive compensation to agents and employees, which is based upon a loss ratio. So in quarters or in a full year, when the loss ratio improves, then the expense ratio is generally a bit higher. But there -- it's generally within a range of 28% to 30% on a statutory basis, and 30% to 32% on a GAAP basis. But you're seeing the impact of higher premiums, which is helping the cause, let's see, especially on a statutory basis where we use net written premiums as the base. The growth that we're achieving in premiums is helping to lower
 [Audio Gap]
 the rest of the year. I would say that, that number is probably low, as a number, a run rate, assuming that we're going to achieve some improvement in our loss ratios. 
Brett Shirreffs: Okay. And then on the personal auto side, can you talk about where you are in terms of achieving profitability there? It's been -- the combined ratio has been a bit above 100% for some time now. Maybe you can compare the rate increases you're getting to loss trends you're seeing right now? 
Jeffrey Miller: I'll let Don speak to the level of rate increases that we're achieving. But certainly, as far as where that line has been and where it's currently, we're seeing some improvement obviously, but not to the level we want to see. So it's a matter of those rate increases that we've taken over the past several years catching up to the loss inflation. But we're just now seeing the increase in the earned premium that's resulted from the rate increases we would've taken a year-plus ago. 
Donald Nikolaus: Brett, as you have probably seen in the earnings release, on a statutory basis, the loss ratio or the combined ratio for personal auto was 106.9% in the first quarter of 2012. It's 104.2% in the first quarter of 2013. And I believe in the last quarter of 2012, it was certainly higher than the 104.2%. The rate increases are certainly beginning to help. We are taking rate increases generally, and in, if not all states, most states, as it will take some time, certainly, for that to be fully earned. But I would point out that just as many other companies, what we are also doing is refining the underwriting process by increasing and enhancing the amount of predictive modeling and other methodology for refining, to make sure that we're writing and appropriately pricing risk. And that's always work-in-process, but I believe, going forward, we will continue to see some improvement related to that part of the underwriting equation. 
Brett Shirreffs: Okay. And on the large fire losses, a couple of items there, one, was there any -- can you provide some more information on it? And was there any geographic concentration to those? And then also on that, are there any reinsurance implications for the remainder of the year based on those? 
Jeffrey Miller: Sure. I'll be glad to give you some additional color on that. As far as homeowners' fires, they were elevated in the quarter. We had about $4 million of homeowners' fires versus $2.6 million in the prior year quarter. But the big story would've been in the commercial side. The first quarter 2012 had only $700,000 of commercial fires, which was extremely low. This particular quarter, in 2013, we had $4.2 million of commercial fires. And as we have mentioned in the release, there's a number of unusual fires in that number. We had one that was a large fire in an apartment building that would've been capped by reinsurance at $1 million. We had 4 separate fires in our Peninsula subsidiary, which writes primarily garage risks. And garage risks are generally not the type of risk where you receive a lot of fire losses. And historically, we've received very few fire losses from that entity. But this particular quarter, $1.4 million of fire losses occurred there. So that is an unusual occurrence. We also saw an increase in Michigan in their commercial fires. So some unusual activity, but it is spread out throughout a number of our subsidiaries. There really are no reinsurance implications as it relates to, going forward, we don't have any deductibles such as we discussed about workers' comp. We do have a $1 million retention on any loss that occurs on a property risk. And so that would be in place for the rest of the year. 
Brett Shirreffs: Okay, great. And then just one last one. I understand you might not care to comment on it, Don, but from the press release and the filing on the tender offer, it seems like there were some issues with federal or state regulatory approvals in time. Was that the main reason for the board's recommendation? Or were there other factors in there, if you care to comment? 
Donald Nikolaus: Well, I -- candidly, a close review of the 14D-9 will disclose that the board looked at about 5 or 6 of the conditions that were set down as not being likely or improbable of being achieved. So it's not only just the regulatory ones. There were a number of other ones, but I would refer you to the 14D-9 where that is fairly well discussed. 
Operator: [Operator Instructions] And there are no further questions at this time. 
Jeffrey Miller: Okay. Well, at this time, we'd like to thank everyone for listening in and for their participation in the question-and-answer session and wish you a good day. 
Donald Nikolaus: Thank you, everybody. We appreciate your time. Thank you. 
Operator: And this does conclude today's conference call. Thanks for your participation. You may now disconnect.